Operator: Hello, and thank you for standing by. At this time, I would like to welcome you to the Watts Water Technologies First Quarter 2025 Earnings Call. All lines has been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Diane McClintock, Senior Vice President of Investor Relations. Please go ahead.
Diane McClintock : Thank you, and good morning, everyone. Welcome to our first quarter conference call. Joining me today are Bob Pagano, President and CEO; and Shashank Patel, our CFO. During today's call, Bob will provide an overview of the first quarter, an operational update and an update on our outlook for 2025. Shashank will discuss the details of our first quarter performance and provide our outlook for the second quarter and for the full year. Following our remarks, we will address questions related to the information covered during the call. Today's webcast is accompanied by a presentation, which can be found in the Investor Relations section of our website. We will reference this presentation throughout our prepared remarks. Any reference to non-GAAP financial information is reconciled in the appendix to the presentation. I'd like to remind everyone that during this call, we may be making certain comments that constitute forward-looking statements. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially. For information concerning these risks, see Watts' publicly available filings with the SEC. The company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that, I'll turn the call over to Bob.
Bob Pagano : Thank you, Diane, and good morning, everyone. Please turn to Slide 3, and I'll provide an overview of the first quarter. We began 2025 with better-than-expected first quarter results, including record adjusted operating income, adjusted operating margin and adjusted earnings per share. I'd like to thank the entire Watts team for their significant contributions during the quarter. Organic sales declined 2% in the quarter due to fewer shipping days, which we noted on our last earnings call and continuing weakness in Europe. We benefited from incremental sales from our I-CON acquisition. However, the benefit was more than offset by unfavorable foreign exchange. Adjusted operating margin of 19% exceeded expectations due to better-than-expected volume, productivity and cost controls. As a result of our solid start to 2025 and expected cash flows for the remainder of the year, we announced a 21% dividend increase beginning in June. Our balance sheet remains strong and provides ample capacity to support flexibility in our capital allocation strategy. From an operations perspective, we are proactively working to mitigate the impact of tariffs. We expect that our vertical integration strategy with the manufacturing close to our customers here in the U.S. will benefit us. We have a proven track record of successfully navigating inflation and supply chain challenges and are confident in our ability to execute through the current environment. I'll talk more about tariffs in a minute. We continue to drive productivity savings through automation, lean initiatives, both inside and outside the factory walls, leveraging our One Watts performance system and selective restructuring actions, including the previously announced exit from a manufacturing facility in France. The exit is progressing as expected and will be complete by year-end. We're pleased with the progress of the integration efforts with our recent I-CON acquisition, and our teams are working together to capitalize on synergies. We expect I-CON to be accretive to adjusted EBITDA margins and adjusted EPS in 2025. Now an update on our outlook for the remainder of the year. Despite the uncertainty around the trade environment and resulting demand impacts, we are maintaining our full year organic sales and adjusted operating margin outlook. We anticipate that price increases, our global sourcing actions and accelerated onshoring of production should offset incremental tariff costs and any potential demand reduction in the second half of 2025. There are a few positives to note. Our solid first quarter and outlook for the second quarter are supportive of our full year outlook. Mega project activity, including data centers remains strong. We also expect to see a benefit from foreign exchange movements relative to the outlook we provided in February. Recently, global GDP forecasts have been revised downward, including a first quarter contraction in the U.S. Given the uncertain impact of tariffs on inflation, we expect interest rates to remain higher for longer. This may unfavorably impact residential and nonresidential new construction in the second half of the year. We expect continued weakness in Europe due to a slowdown in new construction amid continued economic weakness. We saw ongoing heat pump destocking in the first quarter and anticipate this to continue in the second quarter, but current market feedback suggests potential recovery in the second half of the year. Please turn to Slide 4, and I'll provide an overview of the cost impact of the current tariffs and the actions we're taking. The table on the left illustrates the estimated impact of currently enacted tariffs on our 2025 cost base. We source globally and expect there will be some impact on most countries we import from with the biggest impact on raw material and components sourced from China. We have been proactively working on a number of actions to offset the cost impact, including implementing price increases, relocating our supply chain by leveraging our dual source supply base and increasing capacity across our U.S. manufacturing footprint. We have invested in our North American footprint and supply chain diversification over many years and believe we're well positioned to mitigate the impact of tariffs on our cost base and stakeholders. One last item I'd like to mention is that our search for a new CFO is ongoing, and we're making good progress. We'll inform you as soon as we have identified a candidate. In the meantime, Shashank will stay on as CFO to ensure a smooth transition. With that, let me turn the call over to Shashank, who will address our first quarter results and our second quarter and full year outlook. Shashank?
Shashank Patel : Thank you, Bob, and good morning, everyone. Please now turn to Slide 5, which highlights our first quarter results. Sales of $558 million were down 2% on a reported and organic basis. As previously discussed, we had fewer shipping days in the first quarter, which unfavorably impacted our sales by approximately 3% across all regions. Americas organic sales were down 1% and reported sales were flat. This was better than expected, particularly with the reduced shipping days. Sales from our I-CON acquisition added $5 million. Europe organic sales were down 9% and reported sales were down 12% with declines across all geographies due to fewer shipping days, heat pump destocking and weakness in new construction markets driving destocking in the wholesale channel. APMEA sales increased 9% on a reported basis and 13% on an organic basis. Growth in China, the Middle East and Australia were partly offset by a decline in New Zealand, primarily driven by fewer shipping days. Compared to the prior year, adjusted EBITDA of $119 million increased 1% and adjusted EBITDA margin of 21.4% increased 80 basis points. Adjusted operating income of $106 million increased 2% and adjusted operating margins of 19% were also up by 80 basis points and is a Q1 record for Watts. Adjusted EBITDA and operating income benefited from price, productivity, favorable mix and cost controls, which more than offset inflation, volume deleverage and investments. Americas segment margin increased 130 basis points to 23.4%. Europe segment margin decreased by 180 basis points to 13.9% and APMEA segment margins decreased 70 basis points to 17.5%. Adjusted earnings per share of $2.37 increased 2% versus last year with operational contribution and reduced interest expense more than offsetting incremental tax expense and foreign exchange headwinds. The adjusted effective tax rate in the quarter was 24.5%, up 70 basis points compared to the first quarter of 2024, primarily due to a lower tax benefit from the vesting of stock compensation awards that occur in the first quarter of each year. For GAAP purposes, we incurred $1 million of pretax acquisition costs and $17 million of pretax restructuring charges, primarily related to the exit of our site in France. These charges were partially offset by a nonrecurring tax benefit related to the reversal of a prior year tax liability. Our free cash flow for the quarter was $46 million compared to $37 million in the first quarter of last year. The cash flow increase was primarily due to the timing of income tax payments compared to last year. We expect sequential improvement in our free cash flow and are on track to achieve our full year goal of free cash flow conversion greater than or equal to 100% of net income as previously communicated. During the quarter, we repurchased approximately 19,000 shares of our Class A common stock for $4 million. Additionally, as Bob mentioned, we announced a 21% increase in our dividends that will begin in June. The balance sheet remains strong and provides us with ample flexibility. Our net debt to capitalization ratio at quarter end was negative 9% compared to positive 3% in the prior year, and our net leverage is negative 0.3. Our solid cash flow and healthy balance sheet continue to give us capital allocation optionality. Now on Slide 6, let's review our assumptions about our second quarter and full year outlook. We are reaffirming our 2025 outlook, which reflects the market factors previously discussed by Bob and assumes that the current tariff structure remains in place for the remainder of the year. As previously mentioned, we anticipate that price increases, our global sourcing actions and accelerated onshoring of production should offset incremental tariff costs and any potential demand reduction in the second half of 2025. For full year 2025, we are maintaining our consolidated organic sales growth outlook at a range of minus 3% to plus 2%. Our reported sales growth is increasing to a range of minus 2% to plus 3% due to favorable foreign exchange movements, which are listed by region in the appendix. Regionally, we expect the Americas to be slightly better, but offset by Europe, which we expect to be down 1 point compared to our original outlook. We are also maintaining our full year adjusted EBITDA and adjusted operating margin outlook consistent with our guidance in February. Our free cash flow expectation remains in line with our previous outlook as we expect to deliver free cash flow conversion of greater than or equal to 100% of net income in 2025. Next, a few items to consider for the second quarter. On an organic basis, we expect organic sales growth to be flat to up 3%. Regionally, we expect low to mid-single-digit growth in the Americas and low single-digit growth in APMEA, partly offset by a high single to low double-digit decline in Europe. We expect approximately $7 million of incremental sales in the Americas from acquisitions. We estimate that foreign exchange in the quarter will be neutral in total. Our assumptions by region are listed in the appendix. We expect we will begin to see the impact from our 80/20 actions in the second quarter with an estimated $2 million of product exits, primarily within the Americas. Second quarter EBITDA margin is expected to be in the range of 21.6% to 22.2% or up 50 to 110 basis points. Operating margins should be in the range of 19.1% to 19.7% or up 30 to 90 basis points. We expect that price and volume leverage in the Americas and APMEA will more than offset continued volume deleverage in Europe. Other key inputs for the second quarter and the full year can be found in the appendix. With that, I'll turn the call back over to Bob before moving to Q&A. Bob?
Bob Pagano : Thanks, Shashank. On Slide 7, I'd like to summarize our discussion before we address your questions. Our first quarter performance was better than we anticipated with record first quarter sales, adjusted operating income, adjusted operating margin and adjusted earnings per share due to a strong performance in the Americas and APMEA. We are actively working to manage the current trade environment and expect that our U.S. footprint, global supply chain and price increases will enable us to navigate it successfully. We are maintaining our full year organic sales and adjusted operating margin outlook despite the macro uncertainty and expectation of softer market conditions as the year progresses. Nonetheless, we've proven our business is resilient over the long term. Our portfolio is agnostic to end markets, and our teams are pivoting to growing subverticals. Additionally, our business model includes a large repair and replacement component that provides a durable base and drives steady revenue and cash flow. Our balance sheet remains strong and provides ample flexibility to support our capital allocation priorities, including M&A and continued investment in new product development and our digital strategy. In addition, we are increasing our dividend by 21% starting in June. We believe our highly experienced team is well positioned to proactively navigate current market conditions as we have done in the past. We're confident in our ability to control costs through our One Watts Performance System while capturing our fair share of demand and positioning us to capitalize on long-term secular trends. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Nathan Jones from Stifel.
Nathan Jones : I wanted to start off right on that last thing that you said, Bob, there about winning your fair share. And I wanted to talk about winning more than your fair share. I recall in 2022 when supply chains were messed up and your competitors couldn't get product in from China that you guys won some additional share. It was at very good margins because you didn't have to give the typical project discounts. It would seem that the same conditions have been created again here, not necessarily because competitors can't get products, but because it's so much more expensive. So maybe just talk a little bit about where you see opportunities to gain share, to gain margin because of that advantaged manufacturing footprint that you guys have.
Bob Pagano : Thanks, Nathan. Well, sure. Listen, as you know, our primary strategy has been to make products in the regions for the region. However, there are products that we source from low-cost countries such as China to be competitive in the marketplace. So we don't directly talk about competitors or anything like that. But look at having our products close to the customer and in this tariff environment, that's very helpful because our cost structure with the tariffs are different or in a better position. And I think we used the example in the past of some of our gas connectors that we make in the U.S. Our primary competition is in China. And certainly, we are able to take share, as you said, during that time frame. But look, we're going to -- as I said in the last comment, we're going to get our fair share of the market. And with all these tariffs moving around, it's just a dynamic environment we're in now. So stay tuned. Like I said, we'll get our fair share. And let's see how it progresses throughout the year.
Nathan Jones : Fair enough. I guess maybe if you can just talk a little bit about the pacing of the price increases that you've put through. And then if these are all price increases rather than surcharges, obviously, there's talk about the tariffs being reduced on China. If those do get reduced, what happens to your pricing structure? Do you need to give some of that back? Or would you hold on to it? And then I'll pass it on.
Shashank Patel : With regards to price increase, Nathan, we had our annual price increase in January that we talked about during the last earnings call. Since then, the tariff-related price increases, there's been one at the end of March, and then there's one that takes effect May 12. Those -- that's the latest status. And obviously, we'll talk about the realization on those price increases when we have the second quarter earnings call.
Bob Pagano : Yes. Regarding pricing in the future, look, these are big tariff amounts and adjustments. So we’re going to be competitive in the marketplace and with a focus on taking care of our customers. So again, stay tuned. We’re watching this very carefully, and we’ll be competitive.
Operator: Our next question comes from Mike Halloran from RW Baird.
Mike Halloran : So can we just -- I just want to make sure I understand what you're saying with the front half versus back half margin and revenue cadencing. Is it fair to say that the incremental pricing you're getting is being offset by some assumption on incremental weakness from a volume perspective? The nuance, I guess, I'm getting at is I know there was originally some softness embedded in the guide coming in the back half of the year. Has that increased? And if so, is it prospective? Or is it reactive? Meaning it doesn't sound like you've seen any softening really in the business. It's been relatively stable and obviously, this quarter and what you think is going to happen next quarter, very good performance. So is this something you've seen? Or you're just saying, hey, look, the environment is what it is, and we just want to take a cautious approach because the macro signals are suggesting something worse in the back half?
Bob Pagano : Yes. I think it's the latter, Mike. It's just the uncertainty that's around there with all the tariffs. We've had a solid first quarter as well as April has been very good. So we're watching that. Some of that is just people beating price increases, et cetera, in the marketplace. So we're just watching demand, wanted to make sure it's not being pulled forward too much, and then we'll watch what happens. If these big price increases like the China 145% stay in place, I believe that will certainly impact demand in the second half. Again, it's a fluid motion. And when you look at all the leading indicators and the market indicators, they've not really changed, right? So it didn't make sense for us to increase the second half of the year at this point in time. So we'll watch. It's only the first quarter. We'll watch and see how things flow through.
Mike Halloran : Yes. Agreed. No incentive to do that. And then just another question on the margins front half versus back half. Back half is down versus front half, probably a little more than normal. I'm sure some of that's the conservatism you just referenced. Is some of that just associated with the math behind putting in incremental pricing that is kind of more one-for-one on EBITDA dollars based on what you know today? Or are there anything else I should be thinking about going into the back half on the margin line?
Shashank Patel : Yes. No, Mike, primarily, it's driven -- typically, we have -- first half margins are higher than second half margins so sequential margins from a historical perspective. And then secondly, there's going to be a piece of volume deleverage that impacts the second half. And again, that's to be ascertained. We'll just have to see how that goes as the quarter plays out.
Mike Halloran : But implicitly, Shashank, are you saying that the pricing is not margin dilutive in the second half?
Shashank Patel : The pricing is -- we're holding our margins with the price tariff cost impact in the second half.
Bob Pagano : Yes. And it’s not only price, Mike. It’s price. It’s our global supply chain and our footprint adjustments. So all those together are maintaining our margin outlook.
Operator: Our next question comes from Jeff Hammond from KeyBanc.
Jeff Hammond : Bob, you mentioned kind of controlling prebuying, but what have you seen from a prebuy ahead of these May 12 increases? And are you doing anything to kind of limit the impact of that?
Bob Pagano : Yes. We saw some prebuy impact in the first quarter at the last -- at the end of the last week of the month, actually. We saw some of that flow through about $5 million in the first quarter. In the second quarter, April has been solid because people are doing that. We are controlling order input. We don't want everybody to buy a year's full of input. So we're basing it on prior history and making sure we're looking at that. But April was solid. We're just watching that flow through. It's difficult to understand what real demand is -- on prior history and making sure we're looking at that. But April was solid. We're just watching that flow through. It's difficult to understand what real demand is versus how much is that price increase. But I go back to the fundamentals. The market has not changed significantly. There's just more uncertainty and people are just trying to get in front of this right now. But as you know, we have about 3 months of inventory on hand. So we can -- we have that. And certainly, our price increases that Shashank talked about have been incrementally going through at this point in time.
Jeff Hammond : Okay. And then what's informing the weaker Europe guide? It seems like we're hearing at least better news on the heat pump side. Just more color there.
Bob Pagano : Yes. I think it's really the heat pump side, just like you, we think it's going to come back in the second half of the year. It's just new construction. We saw more destocking than we thought was going to happen inside of this. And there's just some uncertainty, in particular, in new construction. So we just believe that it's prudent at this point based on order trends and what we're seeing to be cautious with...
Jeff Hammond : Okay. If I could just sneak one more in. Just maybe update us on how things are going with Bradley, Josam, I-CON in terms of integration, cost revenue synergies, underlying demand trends?
Bob Pagano : Yes. All 3 of the businesses are doing really well. And I would say all our synergy tracking is ahead of schedule, which is exciting. The integration with the teams is going well, and we’re seeing the benefit clearly. And Josam, if you remember, also has a benefit because it has U.S. manufacturing capabilities. And again, in this marketplace, that’s a good thing.
Operator: Our next question comes from Ryan Connors from Northcoast Research.
Ryan Connors : So I had -- to take a different angle on the price cost issue. I know some of the peers in the brass bronze world have talked about specific elements in raw materials being in restricted supply, for example, bismuth as a key ingredient for some of the brass products that I assume you use as well and that's gotten really, really tight and is precipitating some of these price increases. Is that an issue as well? Or is really the main thing you're facing in terms of passing on price is it really exclusively tariffs?
Bob Pagano : I think it's a little bit of the raw materials, but it's mainly the tariffs and some of the more smaller of our products that we have that we get from China to be competitive in the current marketplace. So our team has done a nice job of securing our fair share of the allocations going forward of the components of our raw material, but it's something we continue to watch daily to make sure we know where we're at. But we have a good 3 months of inventory as well as supply chain availability for an additional 3 months related to our copper and some of our ingots that we use in our foundries.
Shashank Patel : Yes. I think, Ryan, more of the raw material restrictions have been on the rare earth metals. And we don't -- in our processes, we don't use hardly any of that.
Ryan Connors : Okay. And then secondly, just conceptually on the price, issue. So we have some competitors out there who are -- who source from China directly with these astronomical price increases. We've seen 60% or more. How do you look at that opportunistically? Are there cases where you'd say, look, we don't really have to raise price any more than 5% or 10%, but maybe we'll go for 20% or 30% just because we've got this air cover of competitors that are out there, we can undercut them amazingly with a 30% price increase. I mean, is there that -- does the market allow for that kind of opportunism on price? Or is it going to be more passing on what your actual tariff costs are?
Bob Pagano : Ryan, we always look at valuing and pricing to value we’re providing to our customers. So we look at what competitors price. We try to be competitive in the regions and the markets. And again, with some of these tariffs that are going in place, we don’t believe they’re sustainable and that they will change in the long run. So I think it’s – you got to be careful to whipsawing. A lot of these price increases are at list price levels, and it varies. There’s big ranges of products where some of the products are low single-digit increases and some are in high double-digit increases. But again, it depends on the component of the product, and we look at the customer region by region and making sure we’re taking care of customers. So we’ll be looking at that and certainly looking at getting our fair share of price in the marketplace.
Operator: Our next question comes from Andrew Krill from Deutsche Bank.
Andrew Krill : I want to just go back to, I guess, your more U.S.-centric manufacturing, especially relative to some peers. Just could you comment on like your utilization of your facilities there and trying to get a sense of how much more capacity you have to quickly ramp up those as you shift away from other areas like China? And are you planning any further CapEx to build these out this year? Or is it a bit too early to expand further?
Bob Pagano : Yes. The good thing is we're not fully utilized on our manufacturing footprint in North America. So we do have second shifts, but we can improve our second shifts and very few of our facilities are running a third shift. So we don't have to put significant capital expenditures, and we believe we have adequate footprint. We're just going to expand shifts and capabilities as needed.
Andrew Krill : Great. That is helpful. And next for -- on Europe with the margins, they're pretty impressive in 1Q around 14%. But for the 2Q guide, you have them stepping back pretty immaterially, approaching 10% or so. Can you just expand a little on what went well in the first quarter and maybe why there's a pretty big step down for 2Q, I think implied for the rest of the year, it doesn't improve that much from there.
Shashank Patel : Yes. Look, in Q1, you're right, the margin expansion Q-over-Q, Q1 to Q1 was very good. Part of that was the volume-driven piece of it, right? We talked about -- we shipped about $10 million more than we had anticipated. And some of that was pre-price increase pull-in, about half of it. The other half was actually data center business, which was up significantly as well. As you look at sequential, Q1 to Q2, we're still expanding margins by about 40 to 50 basis points Q1 to Q2. And then Q2 to Q2 prior year, it's still up about 60 basis points at the midpoint. So there's still margin expansion going on, but Q1 did benefit from some incremental volume as well as cost containment in Q1 as we saw the tariffs coming in.
Andrew Krill : Okay. Great. And sorry, was that for the full company or Europe specifically?
Shashank Patel : No, that was in total. For Europe specifically, I mean, we -- typically, Q1, Q2 are the strongest quarters. But year-over-year, with the heat pump destocking, the compares have become more difficult because it depends on the heat pump destocking started and started in the second quarter of last year. And this year, we certainly expect that to continue in the second quarter of this year.
Operator: Our next question comes from Joe Giordano from TD Cowen.
Joe Giordano : So on the Americas guide for revenue, you started off the year a bit better than I think you were thinking. 2Q guide is coming in plus 2%, plus 5%. I'm just trying to think of how to square that with like the full year guide seems very conservative in light of what you expect first half performance to be on easier comps in the back half.
Shashank Patel : So part of that is the demand destruction we talked about, right? So with the incremental tariff prices, we do expect demand might be impacted in the second half. Obviously, we're a short book in ship business. We have visibility into the second quarter. but we're cautious about the second half. So we've kind of baked that into the second half guide for now, and we'll see how things progress over the second quarter.
Bob Pagano : Yes. And Joe, look at a lot of people are trying to -- a lot of people are trying to beat the price increases. And again, we're watching that. And we just want to make sure they're not pulling, let's call it, the second half demand into Q2. So we're just watching that very carefully. Again, too many moving parts in the economy in the world right now. I think it makes sense to -- in the second half of this year until the world settles down a little bit and we understand true demand in the second half.
Joe Giordano : That's fair. And also on the margins for Americas, we have a lot of historical -- like the levels that you're at now, obviously, coming from much lower levels in the past and your guide for 2Q is kind of in that almost [Technical Difficulty] 25% range. Where do you think this can go from [Technical Difficulty] additional portfolio as you integrate the deals, like what's the potential for this business on the margin?
Bob Pagano : [Technical Difficulty] substantially you're asking margins [Technical Difficulty] growing 30 to 50 basis points of margin year-over-year, and that's our target and our goals we still invest in the business. So that will continue to be our goal. We're driving that through our organization and we do. And it's not just -- value of our new products, our new products providing incremental value to our customers. So we're pricing it...
Operator: There are no further questions at this time. I'll turn the call back over to Bob Pagano, Watts Water Technologies CEO.
Bob Pagano : Thank you for taking the time to join us today. We appreciate your continued interest in Watts and look forward to speaking with you again during our second quarter earnings call in early August. Have a good day and stay safe.